Operator: Thank you all for joining us this morning. Welcome to the Pretium Resources First Quarter 2019 Conference Call. As a reminder, all participants are in listen-only mode and conference is being recorded. After the presentation, there will be an opportunity to ask questions. The conference call today is being webcast live and available along with the presentation slides on Pretium's website at pretivm.com. I will now turn the call over to Mr. Joseph Ovsenek, Pretium's President and CEO. Please go ahead.
Joseph Ovsenek: Good morning, everyone. Welcome to our first quarter 2019 operating and financial results call. Participating on the call with me today is our CFO Tom Yip. On today's call, I'll comment on operational highlights for the quarter and we'll then turn the call over to Tom, who will comment on our first quarter 2019 financial performance. I will close off with a summary of our updated Life of Mine Plan and reserve estimate, and look ahead to our 2019 strategy and objectives, before opening up the call to your questions.
Tom Yip: Thanks, Joe and good morning, everybody. Turning to slide 9. As we continue to ramp-up mine and mill operations, during the quarter we sold 81,434 ounces of gold at an average price of $1,257 per ounce for total revenues of $103 million, compared to 68,651 ounces of gold sold at an average price of $1,271 per ounce for total revenues of $89 million in Q1 of 2018, an increase in revenues of 15%. Included in our revenues were TCRCs related to our concentrate sales, which impacted our revenues by approximately $62 per ounce for the first quarter this year and $57 per ounce in the first quarter of 2018. Factoring in the TCRC we realized $1,319 per ounce for the quarter versus $1,328 per ounce in the first quarter of last year. On a cost per ton basis, we processed 3,279 tonnes per day in the quarter, compared to 2,905 tons per day in Q1 of 2018. This resulted in cost per ton mill of $180 for the quarter, compared to $211 per ton in Q1 of last year, a reduction of 15% primarily reflecting the higher mill throughput. The total cash cost per ounce sold averaged $686 for the quarter compared to $841 in the first quarter of 2018, an improvement of 18% over last year reflecting more ounces sold this year over last. Our cost of sales, which includes production cost, depreciation and depletion relative to selling costs averaged $908 per ounce sold for the quarter and $1,057 per ounce sold in the first quarter of 2018. This yields an earnings for mine of $29.2 million for the quarter compared to $16.8 million for Q1 last year. We continue to show robust earnings for mine operations this quarter. Deducting our corporate administrative cost of $4 million, we generated operating earnings of $25.2 million compared to $14.3 million in Q1 of 2018. The higher corporate G&A cost are primarily due to higher share prices increasing the valuation of share-based compensation this quarter compared to Q1 of last year.
Joseph Ovsenek: Thanks, Tom. In April, we announced an updated Life of Mine Plan and reserve estimate for the mine. At the new production rate of 3,800 tonnes per day, Brucejack has a 14-year mine life with proven and probable gold reserves of 6.4 million ounces, grading 12.6 grams per tonne gold. Using $1300 gold, the mine has an after-tax estimated net present value at a 5% discount rate of $2.6 billion. Over the next 10 years, we are expecting production to average well over 500,000 ounces of gold per year. All-in sustaining costs in the first five years are estimated to be in the low $600 per ounce sold and in the remaining five years in the mid $500 per ounce sold. Looking at cash flow. At $1,300 gold, Brucejack is expected to generate cash flows in the next five years of over $1.7 billion, averaging $350 million per year. As we ramp up production to 3,800 tonnes per day, we are also looking to optimize our mining operations. Turning to slide 20. This is a plan view of the 1,260-meter level of the Valley of the Kings zone at Brucejack. The red disks represent drill intercepts of greater than 20 grams per tonne gold. The yellow stars represent visible gold that has been identified underground. The purple shapes are what we referred to as silcaps, which are part of the structural fabric of the Valley of the Kings above the 1,200-meter level. Finally, the grey shaded areas represent our underground development on the 1,260 level to date. As mining has progress the Valley of the Kings, we have observed that the high-grade gold occurs in corridors, 10 meters to 15 meters wide within the stock quotes. With an improved understanding of geology and controls in gold mineralization, we are now evaluating longitudinal long-haul stoping, mining along the direction of the mineralization rather than perpendicular to the mineralization.
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Ovais Habib of Scotiabank.
Ovais Habib: Hi Joe. Hi Tom. How are you doing?
Joseph Ovsenek: Great. How are you Ovais?
Ovais Habib: Good. Good. Just a couple of questions from me. So just number one. You've guided towards grade and throughput improving in the second half. Are you expecting or noticing any improvement going into Q2? Or should we expect similar kind of grades and throughput in Q2 as well?
Joseph Ovsenek: Hi. Ovais. Good question. We're continuing to work through this lower grade sequence in the mine. So look forward to the higher grades and tonnes in the second half of the year.
Ovais Habib: Okay. And then the second question is on cost. Obviously, cost came in significantly better than we were expecting. This was -- you guys were I guess around that $180 per tonne in Q1. Now this is compared to over $200 per tonne in the previous quarters. Is this cost profile sustainable going into second half of what was this specific to Q1? Can you give me a little bit color on the cost?
Tom Yip: Hi Ovais. I would say that if you look towards our guidance we will have a few more costs on second half of the year. So when you look at the overall cost per tonne, we're closer to 200 to 205 average for the year based on the total spend profile.
Ovais Habib: Okay. Because I was just looking at the cost that you had. Total cash cost is about $55.8 million and you're looking for a guidance of around 255 to 265. So just -- I was just analyzing, so it was coming in cheaper that, so that makes sense. And then just another question on my end is on underground development work. In Q1, I believe you spend about $3.6 million similar to Q4. Are you expecting this spend to increase as you prepare for the underground for 3,800 tonnes per day? Or should we kind of expect similar costs on sustaining over the next couple of quarters?
Tom Yip: No. I think that's right. We'll increase just a little bit as we wrap up to that 3,800 tonne a day level.
Joseph Ovsenek: Yes, we're looking to target closer to 1,000 meters a month in development as we go through Q2 Ovais.
Ovais Habib: So that kind of run rate is going to remain throughout the year then?
Joseph Ovsenek: Yes, through 2019 and into 2020.
Ovais Habib: Okay. And in terms of the test works that you're doing for large due to the mining, when should we start expecting any sort of updates from you guys?
Joseph Ovsenek: We should get you an update by the time of our next quarterly.
Ovais Habib: Okay. Sounds good. So I'll keep it -- I leave it there and let other people take questions. Thanks. Thanks guys.
Joseph Ovsenek: Thanks Ovais.
Operator: Our next question comes from Joseph Reagor of ROTH Capital Partners.
Joseph Reagor: Good morning guys. Thanks for taking my questions.
Joseph Ovsenek: Good morning Joe.
Joseph Reagor: So just two questions for me. First one, on the test stopes that you guys have completed so far, have you guys gotten initial data back on those on what dilution looks like on them?
Joseph Ovsenek: We're still analyzing stopes in progress Joe. So, a little ways to go there.
Joseph Reagor: Okay. And just kind of a follow-up on that. If you were going to switch to a method, the updated resource next year would probably be a positive reflection? Is that fair to say because you'd only switch if it was reducing dilution?
Joseph Ovsenek: Well, a couple of things there, Joe. First off, we'll have our 70,000 meter drill program, should have a good chunk of that completed and incorporated into the updated resource estimate. And then on the reserve side you would expect -- if we can cut down dilution, if we're successful in reducing dilution inside our stopes that should help us with grade somewhat.
Joseph Reagor: Okay. One final one, if I could. On the grade in the first quarter do you guys have a concept of how that reconciled against the revised reserve numbers that we put out?
Joseph Ovsenek: No, the first quarter was in line with our expectations. We're comfortable with how things are progressing.
Joseph Reagor: Okay. Thanks for the time.
Joseph Ovsenek: You’re welcome.
Operator: Our next question comes from Heiko Ihle of H.C. Wainwright.
Heiko Felix: Hey, guys. Thanks for taking my questions.
Joseph Ovsenek: Go head Heiko.
Heiko Felix: Perfect. And I'll just preemptively think about $0.25 million for all the services to the company as well and it's fascinating how far the company has gotten in such a short period of time. Following up on the first question regarding the grades, assuming the second half has the higher grades as you're anticipating and just modeling out your life-of-mine grades with where the second half needs to come in should we expect Q4 and then also Q1 2020 to be higher than the remainder of 2020? I mean, in other words is there some slack in the out year figures given that you're and I'm putting this in quotation Mark "that only 12 grams for next year." I mean, that's obviously a very high number but it insinuates 1.5 grams of slack if I did the math correctly.
Joseph Ovsenek: Well, for next year looking at our Life of Mine Plan we're in that 12 grams is what we're calling for. But see how these test stopings gone – test stoping goes and the launch due to the long-haul stoping. So as I say, if we're successful with that we're going to be coming out with an updated Life of Mine Plan early next year which will take into account this longitudinal and long-haul stoping in the newer areas of the mine that we open up. So it's hard to really talk about that 12 grams. If we stick with transverse long-haul stoping share, but I don't – personally, I don't think we'll be there next year. I think we will have switched over.
Heiko Ihle: Fair. I understand you guys – I just went through the MD&A earlier today. I understand you guys have that work in cap deficit and you talk about it. I mean, that's – your absolute cash on hand numbers are quite high. At what point in time, does it really makes sense to tender for some of the debts given that you're sitting on $50-plus million of cash and you're probably not collecting a whole lot of interest on that?
Joseph Ovsenek: That's a good, good question. That's something we are absolutely looking at. And so as we go through this quarter, we'll make some decisions there, but that's a good point.
Heiko Ihle: I appreciate guys. Thank you very much. And Bob thank you for everything yet again.
Tom Yip: Thanks, Heiko. I'll pass that along to Bob.
Operator: Our next question comes from Bhakti Pavani of Alliance Global Partners.
Bhakti Pavani: Good morning, guys. Thanks for taking my questions.
Joseph Ovsenek: Good morning, Bhakti.
Bhakti Pavani: Just wanted to get a sense around what kind of or what level of stope inventory are you guys currently sitting at and moving along to the development of 3,800 tonnes – 3,800 meter – 1,000 meters -- I'm sorry – to 3,800 tonnes per day on what level of stope inventory do you think you would like to have to make you guys comfortable?
Joseph Ovsenek: Well, right now we're mining – we're mucking out of about six stopes on a consistent basis have a few stopes in reserve as we're – our focus right now is opening up the underground and actually, so pushing on the development for the levels on that. As we get into the second half of the year, you should see our stope inventory build to be comfortable at transverse long-haul stoping, we'll probably want to be in that I don't know 14 to 16 stope range at total stopes in the queue there. However, with longitudinal long-haul stoping if we do proceed in that direction evaluate and come up with some numbers for you for next year. But as of now that's where we're at.
Bhakti Pavani: Okay. Perfect. Thank you. Just curious to know about the longitudinal long-haul stoping. I know you guys are still in the testing phase, but just kind of from the cost perspective could you maybe provide some color or any guidance on what are your expectations regarding the cost? I mean, how much do you think would it further reduce your cost from what you are at now?
Joseph Ovsenek: That's a tough one to get into right now Bhakti. We need to do some more work and come up with our mine planning incorporating that mining method, before we can really get into cost. But that is something, we will provide once we get there.
Bhakti Pavani: Okay. Just last one with regards to the capital spending. I mean, what kind of CapEx should we be modeling for remaining of the quarters for this year, just to get a better sense of the all-in sustaining cost?
Tom Yip: Well, we generally like to do our capitals during or the bulk of during the summer months, so I would have weighted a little more heavier second third quarters and then maybe tail-off in the fourth quarter.
Bhakti Pavani: Okay. Perfect. That's it from my side. Thank you very much.
Joseph Ovsenek: Thanks, Bhakti.
Tom Yip: Thank you.
Operator: Our next question comes from Anita Soni of CIBC.
Anita Soni: Good morning, guys. Can I ask a question with regards to some of those -- a little bit more color into the cost equation that Ovais had asked previously which -- specifically, I was wondering when you're talking about additional cost coming through in -- later in the year. Could you just elaborate on that? And I noticed the site services cost has posted a significant improvement from the prior year. And could you just talk about whether or not that reverts back up to sort of $56 per tonne over the course of the year later on?
Joseph Ovsenek: Hi, Anita. I'll address the cost versus Q1 and then Tom will answer your other question there. So on the cost side in Q1 that's -- we've taking over self performing a number of the operations in support of the mine and that's what's really brought the cost there. So that is expected to continue with the current rate.
Anita Soni: Sorry. So, Tom had originally said that -- to Ovais, that 205 to 200 is sort of the number to continue to grow with. So -- and you are saying probably closer to 180 instead?
Joseph Ovsenek: What I'm saying is the sites versus costs in this first quarter this year versus next year, but it should stay at that level. Tom's referring to the overall -- 
Tom Yip: Yes. So, overall, Anita, we're forecasting on a per tonne basis the 200 to 205 level for the average for the year. We had some costs in the first quarter that didn't occur and we basically are going to pick that up in the second, third and fourth quarters. So, overall, for the year, we're still pretty happy with the guidance level, where you see that we're in that $255 million to $265 million arrange. And if you use the 3,500 tonne per day average on tonnage for the year that's where we get that 200 to 205 per tonne basis.
Anita Soni: Okay. So could you give me an idea of what those costs that you didn't incur in the Q1 were and -- so I get an idea from it all?
Tom Yip: Well, there will be primarily consulting type costs and study costs related to some permit compliance that we would have pushed and have not got started yet. And they'll pick up, because we have to do those type of studies.
Anita Soni: And that flows through to the mines -- mine G&A, is that what it is?
Tom Yip: Yes. It's all in the services at the Brucejack.
Anita Soni: Okay.
Tom Yip: Will be sort of fairly fixed-type but timing wise we just didn’t start them as we anticipate in the first quarter.
Anita Soni: Okay. And then second question would be on the tonnage. So you've got a pretty good start to the year. I think originally, you said you started around 3,100 tonnes per day. And I guess that was the start point and you're sort of a 3,300 tonne per day on mining rate. And building up to 38, can we get an idea of how that transition over -- transitions as a steady build? Or is there some kind of a dip in Q2 or anything that we should be aware of?
Joseph Ovsenek: We expect to have a steady build up through the year to hit that 3,800 by the end of the year. We're pushing on things. As I say, we have our bulk flotation concentrate loading in but we --  -- kind of like that. So I would just model that as a steady build through the year.
Anita Soni: I guess what caused me to ask that question is that I think originally in all the terminology you guys are citing from 2,700 tonne per day and I guess that just means from the level you were at last year, rather than at some point this year you might dip down there?
Joseph Ovsenek: Correct.
Anita Soni: Okay. All right. Thank you. 
Joseph Ovsenek: Thanks, Anita.
Operator: Our next question comes from Andrew Kaip of BMO.
Andrew Kaip: Hi, guys. Thanks for taking the call, but Anita asked all questions I was looking for.
Joseph Ovsenek: Okay. Thanks, Andrew.
Operator: Our next question comes from Mark Magarian of Wells Fargo.
Mark Magarian: Hi, guys. Well done, Joe, on a good start to the year.
Joseph Ovsenek: Thanks, Mark.
Mark Magarian: Just a couple of small things. I know the test stope question has been asked a few times already. But you said you'd already completed a handful. Will those stopes fed-in for Q1 production or that held -- the results of that are being held separate for the moment?
Joseph Ovsenek: They're within our production numbers.
Mark Magarian: Okay. The next thing is on the -- I know you have that cause with your -- when you refinance your debt for a $40 million allocation to dividends or buybacks that you're going to look at, end of this year, or what have you. Is that limit based on both the term and the revolving facility? Or if one is clear then that limit goes away? Or it based on the whole thing?
Joseph Ovsenek: It's based on the whole thing and -- but as we get down in getting that, I assume there's some opportunity to renegotiate, but it is there on the whole thing. So that would cover off over the term of the -- our current term, if we don't pay down things ahead of schedule as of December 2022, however, we're looking to advance that.
Mark Magarian: Right. Absolutely. All right. Well, thanks and well done again.
Joseph Ovsenek: Thank you very much, Mark.
Operator: Thank you. This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Ovsenek for any closing remarks.
Joseph Ovsenek: Well, thank you everyone for dialing into our earnings calls this morning. We appreciate all the comments and questions. Have a good weekend, everyone. Bye-bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.